Operator: Good morning. My name is Diego, and I'm your conference facilitator today. I would like to welcome everyone to Cliffs Natural Resources 2010 Fourth Quarter and Full Year Results Conference Call. [Operator Instructions] At this time, I would like to introduce Steve Baisden, Vice President, Investor Relations and Communications. Please go ahead.
Steven Baisden: Thank you, Diego, and thanks, everyone, for joining the call this morning. Before we get started, let me remind you that certain comments made on today’s call will include predictive statements that are intended to be made as forward-looking within Safe Harbor protections of the Private Securities Litigation Reform Act of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause actual results to differ materially. Important factors that could cause results to differ materially are set forth in reports on Forms 10-K and 10-Q and news releases filed with the SEC, which are available on our website. Today’s conference call is also available and being broadcast at cliffsnaturalresources.com. At the conclusion of the call, it will be archived on the website and available for replay for approximately 30 days. Joining me today are Cliffs’ Chairman, President and Chief Executive Officer, Joseph Carrabba; and Executive Vice President, Finance and Administration and Chief Financial Officer, Laurie Brlas. At this time, I'll turn the call over to Joe for his initial remarks.
Joseph Carrabba: Thanks, Steve, and thanks to everyone for joining us today. I'm pleased to say 2010 was a year of exceptional records and results for our company. As mentioned in the highlights in last night's release, we achieved a number of financial, operational and growth milestones during 2010. The ongoing execution of our strategy in recent years, including our increasing exposure to seaborne markets, has generated an exciting growth trajectory that we believe will extend well beyond 2010. I am enthusiastic about our accomplishments over the past five years, which arguably reached a pinnacle in 2010, but I am even more excited about where we are headed in 2011 and beyond. Today, we are positioned with iron ore pellet equity production capacity in North American Iron Ore of 29.5 million tons. This 28% increase from 2005 is a result of a number of strategic steps taken by this management team, including the 2007 expansion of production capacity at Northshore, the 2008 purchase of our remaining partners' interest in United Taconite and the 2010 purchase of our two partners' interest in Wabush Mines. In Asia-Pacific Iron Ore, upon completion of our announced infrastructure upgrades, we will also be positioned to produce and sell 11 million tons of lump and fines products by 2012. This is over 100% increase in volumes from 2005, the year we acquired the operations. Based on our track record for iron ore acquisitions over the past few years, I believe you should feel confident in our ability to execute and integrate large strategic transactions that have the potential to create significant shareholder value. As you know, last month, we announced an agreement to acquire all of the outstanding shares of Consolidated Thompson, an emerging world-class iron ore producer located in Eastern Canada. Among other things, Consolidated Thompson's assets will diversify Cliffs North American customer base to include new customers in Asia, including a strategic relationship with China's third largest steel maker, WISCO. In addition, Consolidated Thompson assets will provide Cliffs an impressive growth profile with an opportunity to expand production capacity of 8 million tons to a run rate of 16 million tons by 2013. We anticipate this acquisition will close in early second quarter of 2011. In addition to iron ore, our large greenfield project in Northern Ontario will diversify our product base to include chrome ore and ferrochrome, a strategic mineral used in the production stainless steel. Discussions with key stakeholders are ongoing, and we recently announced additional information about the project and our plans. Now turning to the performance of our core businesses during the quarter and full year. North American Iron Ore's fourth quarter and full year sales volume were 7.6 million tons and 26.2 million tons, respectively. Exclusive of the overall increase in the demand of iron ore pellets when comparing 2010 to 2009, we sold nearly 400,000 tons of pellets from our Minnesota and Michigan operations into the seaborne market. Given the current demand for iron ore products around the world, we expect to place approximately 1 million to 2 million tons of pellets from these same U.S. operations into the seaborne market in 2011. The year-over-year increases in sales volumes is also related to the purchase of our remaining partners' interest in Wabush Mines. Noteworthy is the fact that the sales margin dollars generated from Wabush Mines in 2010 well exceeded the roughly $100 million we paid to buy our former partner's 73% ownership. In short, it was less than a one-year payback on the investment. This is not only a prime example of the successful execution of our strategy to increase our seaborne exposure but also the fourth iron ore acquisition we have completed in the last six years. During 2010, we prevailed in our binding arbitration with Algoma, one of our two previously disclosed arbitrations with customers. The remaining arbitration is still underway, and at this point, we are assuming a resolution to occur in 2011. And this resolution is reflected in our outlook. Moving forward, we continue to make efforts to clarify the language in our customer supply contracts around pricing mechanisms to help mitigate the risk of future arbitrations. I am extremely proud of our operators' abilities to succeed in ramping up production in such a short period of time. As you know, in late 2008 and into the beginning of 2009, we ceased production very quickly to meet lower U.S. demand for pellets. In 2010, driven by significant higher demand, we achieved a record 26 million tons in sales volumes. This level of sophistication required to manage our complex operations to satisfy these quick swings in demand is a testament to the expertise of our operators. Now turning to North American Coal. Primarily, as a result of incremental tonnage acquired in the INR Energy transaction, we reported a sales volume increase of 24% versus 2009's fourth quarter. INR's coal operations are essentially fully integrated, and we were accretive to our 2010 full year results. The incremental contribution from these operations more than offset year-over-year decreases in sales volume of Cliffs' Pinnacle and Oak Grove mines, both of which continued to experience the effects of adverse geological conditions. Although the longwall installation at Pinnacle was successfully completed in late October, the adverse geological conditions prohibit us from ramping up production as swiftly as we had initially anticipated. With the new longwall systems' upgraded capabilities, we anticipate it will significantly be more efficient than its antiquated predecessor in 2011. The upgrades to Pinnacle's preparation plant were completed as of the beginning of January 2011. The new upgraded technology will allow us to produce more salable product going forward. Additionally, by the end of January, we were more than three quarters of the way through our planned 800-foot excavation of the new mine shaft at Oak Grove, slated for late summer completion. Once installed, the current trip time to and from the face of the coal panel will be significantly reduced. During the first quarter, we will make one additional longwall move at Pinnacle Mine. Upon completion of this and with the progress we've made around the North American Coal Capital Projects, we expect to show you significantly increased production and significantly lower unit cost in our Coal businesses. At Cliffs' Asia-Pacific Iron Ore business, we achieved a record-breaking year, with fourth quarter sales volumes up 24% and sales margin surging over 800% when compared to 2009's fourth quarter. Significantly higher prices in the seaborne market, steady demand for our products and higher sales volume from the Cockatoo Island joint venture contributed to this segment's very strong performance. Although the exceptionally high spot prices experienced in recent weeks are most likely not sustainable in perpetuity, I do believe there are a number of factors that support high pricing over the near term. I point out to the recent debate in India, a supplier of roughly 100 million tons of iron into the seaborne market. Recently, the country's Ministry of Steel has suggested an all-out ban on iron ore exports. While this probably won't happen overnight, Indian states, Karnataka and Orissa, have begun increasing export restrictions. Another point to note, higher labor, energy and material cost will impact China's marginal cost producers, potentially raising the floor in spot market pricing. These points, coupled with the increasing steel production capacity in emerging economies, will likely bode well for seaborne iron ore pricing. This would naturally have a positive impact on our realized revenue in the near future. Durning 2011, we will continue to move ahead with our capital project plans in Asia-Pacific Iron Ore. I'm sure many of you have been following the recent flooding of Australia. Fortunately for us, Cliffs' Asia-Pacific Iron Ore operations are located in the southwest part of Australia, approximately 300 miles east of Perth. These operations were untouched by the cyclone that recently hit the iron ore-rich Pilbara region, which is located about 1,000 miles to the north. Additionally, Sonoma Coal is located north of the hardest hit flooding areas in Queensland. While some rain is prompting us to pump water out of the pit, we fortunately have not had to declare force majeure on any production. We are cognizant of potential continuing impacts weather may have on future production as the wet season typically extends through April. At this time, there is no way of knowing the full scope of damage to infrastructure or the time it will take it to be restored. Although these weather-related impacts have increased spot prices for met coal, we are keenly aware of the humanitarian disaster these floods have brought to the region. Earlier this month, we announced our comprehensive global reorganization plans. As I mentioned on the top of the call, we have significantly grown this company over the past five years. This growth has prompted a need for greater collaboration between our North American and Asia-Pacific business units. I believe there are many commercial, logistical and operating opportunities in having a truly integrated global management structure. We will look to adapt best practice solutions to the complex challenges we face as a global company. With the integration of our new management alignment, I believe the company is well positioned to prepare Cliffs' next generation of leaders. In summary, it is apparent, Cliffs is poised to grow. The year 2010 was spent working hard to find an array of portfolio investment opportunities from greenfield projects to large-scale acquisitions. Looking ahead in 2011, it will be the year of integration and execution. At this time, I'd like to turn the call over to Laurie for a review of the financial highlights and our outlook for the coming year. Laurie?
Laurie Brlas: Thank you, Joe, and thanks, everyone, for joining us on the call this morning. Financially speaking, 2010 was an off-the-charts year for Cliffs. Not only was the fourth quarter the strongest we have ever reported, but we achieved full year record revenues, sales margins, net income, diluted earnings per share and free cash flow, among other accomplishments. These impressive results were driven by increased sales volumes in all of our business segments and significantly higher pricing in the commodities that we sell. Full year consolidated revenues doubled to $4.7 billion, while our full year consolidated sales margin increased nearly 400% over the full year 2009. Net income for the year increased to over $1 billion or $7.49 per diluted share versus last year's $205 million or $1.63 per diluted share. Cash from operations was over $1.3 billion for the year. This is an impressive increase of over 600% from 2009 and well over a 55% increase from 2008, a year we all thought was an extremely strong year. I think it's important to point out that the $1.3 billion in cash from operations excludes the anticipated cash impact from 2010's previously disclosed arbitrations. We did, however, collect $129 million in January 2011 from the arbitration with Algoma that was settled at the end of December. While the customer has taken legal action in an attempt to vacate the award, this payment will be reflected in 2011’s first quarter cash flows. For the fourth quarter, consolidated revenue increased 74% to a record $1.4 billion compared with $821 million in last year's final quarter. And sales margin was up well over 2.5x that of last year, reaching $482 million in the quarter. Operating income increased 155% to $397 million, and net income improved to $384 million compared with last year's $108 million. This resulted in $2.82 per diluted share versus the prior year's fourth quarter of $0.82 per diluted share, an increase of almost 250%. Average revenue per ton in North American Iron Ore rose to $107, up 33%, compared with $80 in the fourth quarter of 2009, reflecting favorable pricing for seaborne iron ore and hot band steel. The 2010 revenue per ton results were exclusive of a pending arbitration with one of our customers, resulting in an unfavorable $300 million impact to sales margins. As of today, we're assuming a final resolution and award for this arbitration will occur in 2011, and this is reflected in our outlook. When compared to last year's fourth quarter, the current quarter's increase in cost per ton were a direct result of higher profit sharing, employee-related and materials cost, along with royalties and the result of additional sales volume from the purchase of our partners' interest in Wabush Mines. Last year's fourth quarter cost per ton also benefited from purchasing tonnage from some of our mine partners at variable costs. In North American Coal, average revenue per ton for the quarter improved 29% to $117 compared with $91 last year. Average cost per ton increased 39%, which included approximately $20 per ton of DD&A. As Joe mentioned earlier, the adverse geological conditions experienced during the quarter had an impact on our production. As a result, cash costs increased 40% from last year's fourth quarter to $122 per ton. For the full year, cash costs were slightly lower year-over-year due to increased volume. As we've indicated before, as the capital projects underway ramp up in this segment, we anticipate significantly higher production volumes and significantly lower costs. Turning to Asia-Pacific Iron Ore. Average revenue per ton in the quarter was $135, up 110% from last year's $64. This, combined with a per ton cost increase of only 19% to $66, resulted in a sharply higher sales margin per ton of $70 versus $9 in the prior year. On top of 2010's increased spot prices for seaborne iron ore, we realized a premium of about $16 per ton for our lump product, which represents approximately 50% of our sales volume. In addition, during 2010, we transitioned to pricing mechanisms more closely tied to the seaborne iron ore spot market. This helps us monetize the ongoing increases in spot prices throughout the year, contributing to our outstanding financial performance in this segment. Sonoma Coal continued to post positive results. During the quarter, Sonoma contributed $59 million to Cliffs' revenue and $23 million to sales margin. At Amapa, increased pricing and sales volumes resulted in $5.6 million of equity income for Cliffs' 30% interest in the project. During the quarter, we completed a restructuring of the legal entities that hold our 30% investment in the project. This was the primary driver of a noncash deferred tax benefit of $78 million recorded in the quarter. At December 31, Cliffs had $1.6 billion in cash. During 2010, we were successful in achieving an investment-grade rating and raising $1.4 billion in public senior notes. In addition, we have $325 million in private placement senior notes, for a combined total of $1.7 billion in long-term debt at year end. We have nothing drawn on our revolver, so other than letters of credit, it is fully available to us. With our increased liquidity, during the year, we raised our quarterly cash dividend by 60% while also investing $1.3 billion in capital projects and acquisition-related assets. For 2011, we have a very optimistic outlook for each of our businesses. This optimism is based on favorable and ongoing global supply and demand fundamentals. We continue to be bullish on pricing in light of the factors Joe mentioned earlier. For our North American Iron Ore business, we increased our 2011 sales volume estimate to approximately 28 million tons. The higher sales volume is attributable to improved market conditions and to sales recognition timing of 600,000 tons of pellets that have been pushed into 2011. This was related to customer timing requirements and weather-related shipping delays on the Great Lakes. Pellet prices in our North American Iron Ore segment are currently estimated to be $140 to $145 per ton in 2011. This estimate includes various assumptions, which were detailed in last night's press release. Additionally, as is typically the case, we would anticipate our reported average revenue per ton to be lower during the first half of the year than our full year outlook. Due to the seasonality in our businesses, particularly with lot maintenance and the Great Lakes freezing in the winter months, our most profitable quarters tend to be the last two in the calendar year. We expect to produce 28 million tons in 2011 with average cost per ton expected to be between $65 and $70. Sales and production estimates at our North American Coal segment remain unchanged from the previous guidance. We anticipate producing and selling a total of 6.5 million tons comprised of 4 million tons of low-vol met coal, 1.5 million tons of high-vol met coal and 1 million tons of thermal coal. Average revenue for the full year is expected to be $135 to $140 per ton. Again, I refer you to last night's press release for a complete breakdown of committed and uncommitted tonnage volume, along with the prices contracted to-date. Based on the capital improvements we've made at our coal operations and the increased volume, cost per ton is expected to decline to approximately $105 to $110. At our Asia-Pacific Iron Ore operations, sales and production guidance remains unchanged at 9 million tons. Revenue per ton is expected to be between $175 and $180, an increase of nearly 50% over the average 2010 revenue of $121 per ton. This significantly higher expectation is based on the assumption of flat spot pricing of $187 at January 31 holds consistent for the remainder of the year. As many of you know, spot prices fluctuate and you'll make your own assumption about where you believe these will trend for the full year. Cost per ton is expected to average between $70 and $75, with approximately $12 of DD&A. The year-over-year increase in cost per ton is driven by increased royalties, unfavorable exchange rates and additional mining costs. Also cost per ton will be higher due to our planned infrastructure capital project at this operation. We expect our share of Sonoma's 2011 sales volume will total 1.6 million tons, with an approximate product mix of 60% thermal coal and 40% met coal. As many of you are aware, Queensland's flooding has caused significant volatility in Australian coal prices. We would anticipate pricing in this business to move with pricing for Australian met and thermal coal adjusted for our quality. Sonoma's 2011 costs are expected to average $105 to $110 per ton, reflecting unfavorable exchange rates and higher royalty expenses. Amapa is expected to be modestly profitable in 2011. Currently, we're anticipating 2011 SG&A cost of approximately $200 million. In addition, we expect to spend approximately $50 million to $55 million related to our global exploration activities and approximately $35 million for our chromite project. Based on our outlook, we expect to generate more than $2.7 billion in cash from operations in 2011, more than double 2010's impressive record-breaking results. We anticipate 2011 capital expenditures of approximately $700 million, comprised of about $300 million in sustaining capital and $400 million in growth and expansion projects. In last night's release, we provided a further breakdown of capital by business segment. Our plans for the permanent financing in connection with the acquisition of Consolidated Thompson are coming together nicely and are supported by our 2011 outlook, including our expected cash flow from operations. The bank term loan is moving forward quite well, and demand to participate has been strong. We still expect to access the capital markets for a portion of our permanent financing. The timing of that will depend on a variety of factors including market conditions. Although we intend to execute our final plans for long-term debt before the closing of the Consolidated Thompson transaction, we expect that our remaining permanent capital structure will be put in place later. Our fourth quarter performance marked the end of a very exciting and productive year for Cliffs. 2011 has gotten off to a fast start, and we look forward to reporting our progress as the year progresses. Steve, we're ready to open the call for questions.
Steven Baisden: Diego, if we could open the call for questions at this time, that would be wonderful.
Operator: [Operator Instructions] Our first question comes from Jorge Beristain with Deutsche Bank.
Jorge Beristain - Deutsche Bank AG: One is obviously, your balance sheet closed a lot stronger than at least we had expected, and the guidance raise is pretty significant in terms of the 2011 operating cash flow. So my question is does this in any way change your view for the potential funding structure of the Consolidated Thompson deal? And by that, I mean, originally, when you proposed the deal about six weeks back, you had intoned there would be some need for an equity contribution there or equity raise. And has your mind changed at all in the past few weeks given how strong seaborne pricing has gotten? And how strong Consolidated Thompson's operations could be under seaborne pricing?
Laurie Brlas: Sure, Jorge, thanks. We appreciate the question. One of the things, we've also said that our investment-grade rating is very, very important to us. And as you know, the rating agencies evaluate things on a trailing 12 months. So although we're extremely excited about the cash flow coming in, in the future, it still is likely that there would be some equity involved in order to maintain that investment-grade rating. The cash that we generate and the timing of that equity raise will determine how much equity exactly has to be added.
Jorge Beristain - Deutsche Bank AG: But just to follow up, did I understand that I heard you correctly that the capital structure would be finalized post deal? So that does that mean that if you were to do an equity raise, it would potentially be more towards June, July, at which time you would pick up more 12-month trailing EBITDA?
Laurie Brlas: I really can't give you a specific month or anything like that. I think that due to legal and other requirements, it's likely to be after the closing. But I can't project at this point when exactly.
Jorge Beristain - Deutsche Bank AG: And then the other question was just related to the IODEX relationship quote that you gave for your Australian operations, specifically, which I think is great in terms of helping the market finally dimension the true seaborne leverage of that business. But it would seem that you're basically indicating realizable prices out of Australia at around 95% of the IODEX price, again, quoted at $187 on January 31. My understanding would be, though, that there should additionally be some freight discounts that you should take because the IODEX price is a CIF China quoted number and what you're realizing out of Australia would have to be net of freight. Could you comment on that?
Laurie Brlas: Sure, yes. You're exactly right that ours are at the port and that is a CIF China, but that is also a fines price, and so our price, including the mix of lump and fine. So we pick up some upside because of the lumped piece of it.
Operator: Our next question comes from David MacGregor with Longbow Research.
David S. MacGregor: I guess I just wanted to explore, in light of the strength of the market, the economics of getting more tonnage out of the Great Lakes into the seaborne market. Can you just talk a little about the incremental cost from a transportation and handling standpoint? And then, what's the possibility of de-bottlenecking or getting some incremental tonnage out of some of your lower-cost Great Lakes operations to support sales into the seaborne market?
Joseph Carrabba: Sure, David. This has been an important component, with the strong pricing that we have right now on pellets and the strong demand we have, particularly going into Asia. You can overcome a lot of that pricing and still realize margins over and above what we're getting out of some of our North American sales contracts. So that's certainly the driver that goes with it. I don't have the specific numbers that go with the pricing coming out of the Great Lakes or the transfer up at Québec City. But we were very successful last year just getting this thing started in the second half with 400,000 tons that were placed, and we're enthusiastic that we've got those supply lines in place now. We understand how to do it, and we're starting to move that product out of the Great Lakes. So again, more seaborne exposure as you've heard throughout the script today is certainly what we're after.
David S. MacGregor: And what I heard was 1 million to 2 million tons in 2011?
Joseph Carrabba: That's right, yes.
Laurie Brlas: Yes. The incremental freight is probably around $30, so you can use that as a calculation.
David S. MacGregor: And is that the increment overhead on the transaction or is there other charges associated with handling that might be above cost on freight?
Laurie Brlas: That's inclusive of all that.
Joseph Carrabba: Yes.
David Khani - FBR Capital Markets & Co.: And then secondly, on just the coal sales, are there any 2012 transactions at this point?
Joseph Carrabba: There's no '12 transactions. There might be a little bit of thermal, David, but you know, I mean, it's de minimis.
Laurie Brlas: I don't think there is, but yes, it would be very small if it were.
Operator: Next up is Wes Sconce with Morgan Stanley.
Wes Sconce: Historically, your pricing in North American Iron Ore has reflected an even mix of input factors from global pellet pricing, steel pricing and inflation. And after upping your stake in Wabush and with export opportunities opening up to the Great Lakes, what would you say this mix is going forward for Cliffs, stand-alone?
Laurie Brlas: Well, the contract-based tonnage is still somewhat in that type of mix. So what you would want to do is take the Wabush and any other exportable tons out of the calculation and do a separate calculation for that and then look at the contract base, which would be roughly the same mixture of pricing components.
Wes Sconce: Would it be far off to suggest that it might be something on the order of 40-30-30 now?
Laurie Brlas: That's probably fair.
Joseph Carrabba: Yes, I think your point is right, Wes, that the historic rule of thumb of a third, a third, a third that we've always given, we've got much more exposure to the seaborne price now.
Laurie Brlas: Yes.
Wes Sconce: And as a follow-up, with your Asia-Pacific Iron Ore, you realized a $16 a ton premium per lumps in 2010. Am I correct in assuming that your guidance implies that this premium increases in 2011?
Laurie Brlas: I don't know that it increases.
Joseph Carrabba: I think it holds.
Laurie Brlas: It holds, yes.
Joseph Carrabba: Yes. I think that premium holds, Wes.
Wes Sconce: Okay. And on that calculation with the $187 a ton delivered fines price to China, what freight are you assuming in calculating your netback?
Laurie Brlas: $17 to $18. Is that...
Joseph Carrabba: Yes, it's going to be less than $20 a ton, yes.
Laurie Brlas: Yes.
Operator: Our next question comes from David Khani of FBR Capital Markets.
David Khani - FBR Capital Markets & Co.: The exportable tons, can you give us a sense, how much can those numbers grow over time, the 1 million to 2 million tons from the U.S.?
Joseph Carrabba: I think the current logistics that we have coming out of the lakes and out of the canals, probably 2 million tons would be the tops at this point in time, given the structures that we see. Again, we haven't put any capital structure into it at all. We're relying on third party, if you will, to move [ph] (42:46) it out and transload it. But at this point, I wouldn't go beyond the 2 million tons.
David Khani - FBR Capital Markets & Co.: Can you just step back a little bit and give us on the macro front kind of a little bit of the supply and demand trends that you see that are kind of driving pricing right now that you think are important?
Joseph Carrabba: Yes, sure, I'd be glad to. As I've said, with China, we still see very strong sales there. I know there's been a lot of discussion on the macro of the pullback of China, with interest rates that are increasing and all of that. But as we've said numerous times, remember, we point most of our tons into mills, steel mills, that make infrastructure-type products, and we believe with the government funding, they will continue on with the infrastructure build-out in China. So by pointing to that sector, we still feel very confident that our continued sales at 9 million tons coming out of Australia are going to continue throughout 2011. North America, as you've heard through previews discussions and reports from the U.S. steel industry, I think they're getting a little more bullish, not over the top but a little more bullish, and you see utilization rates being projected to go up somewhat in the U.S. So with a rising economy in the U.S., it only bodes well for the volumes of sales to come forward for Cliffs.
David Khani - FBR Capital Markets & Co.: And then Laurie, could you give us a little bit of a breakup of the cost escalation that's going on in Australia?
Laurie Brlas: Well, as we've said, the FX and the royalties are really the major components of it.
David Khani - FBR Capital Markets & Co.: Can you give a rough breakout of percentage?
Laurie Brlas: I think the royalty is over $10.
Operator: Our next question comes from Brian Yu with Citi.
Brian Yu - Citigroup Inc: My question is in regard to the North American seaborne pellet price assumption. I think you are looking for a 35% increase. And the specific phrase [ph] (45:01), you gave us a reference spot price. Can you give me what is the 35% increase in pellet prices translate to in terms of a spot fines assumption?
Joseph Carrabba: Basically, what we're trying to indicate by making that comment is that you are roughly on an annual price basis around $150 a ton for pellets in 2010. We're saying that we're assuming a 35% increase off of that 2010 $150 base. So that puts you roughly around $200 a ton.
Brian Yu - Citigroup Inc: So you're actually assuming a lower equivalent fines price for your North American pricing than Asia?
Joseph Carrabba: Yes. I think you've got to understand that these are two different markets. The Atlantic basin is a different market than the Australian fines price.
Brian Yu - Citigroup Inc: And in terms of how these discussions are going with your customers, last year, it was a very long drawn-out process. It seems like steel producers are much more eager to get a settlement done. Do you have any kind of outlook on timing when these assumptions might get locked in?
Joseph Carrabba: Yes. Customer negotiations are going much better this year. And by the way, that goes for both sides. If you remember, we were both thrust into a new world, if you will, last year, where pricing settlements -- they did come, and benchmarks were established but just in a different methodology that was used than the past. Nobody wants to go through that again this year either from a supplier or customer base in North America. And we are settling contracts for 2011, as you say, pretty early, and we're all eager to get it done so we can put our plans forward in 2011.
Brian Yu - Citigroup Inc: And just my last question, switching over to metallurgical coal. I think in the press release, you talked about additional geological issues at PinnOak. Is that your new -- and would you expect that to persist into the first quarter?
Joseph Carrabba: What will persist in the first quarter, PinnOak is, we always refer to both of the mines, but it will be more at Pinnacle. And as I said, we thought we would have the longwall move, the new longwall move out of the last panel already completed before going into the new year. But because of the top being so difficult to deal with, that's dragged on into this quarter, so what you'll see will be a lower result out of the Pinnacle Mine due to the longwall move that we are now just about in progress to accomplish in the first quarter. So it will be more of the move that it will be the top, and we're all anticipating better geological conditions as we get into that next big panel.
Operator: Our next question comes from Mark Parr with Keybanc Capital Markets.
Mark Parr - KeyBanc Capital Markets Inc.: Your 2011 pellet assumption, can you give us any color on the magnitude of lag-year adjustments in that number?
Joseph Carrabba: It's really a mix.
Laurie Brlas: A lot of mix things going on there.
Joseph Carrabba: Some of that tonnage is at seaborne, Mark. Some of the tonnage is under legacy contracts that have no lag-year adjustments. Some have lag-year adjustments. So it's really just a mix. And I don't think we'd be able to quantify it for you.
Mark Parr - KeyBanc Capital Markets Inc.: Well, yes, you're kind of like -- I'm in the same place here. I'm trying to understand that. Do you think based on what you're seeing now, would you expect 2012 to have any lag year? Or is that just something that we should increasingly view as less important? And I'm also curious if you could talk a little bit about the new methodology in terms of how you come up -- apparently, you're still talking about the same thing kind of like a third, a third, a third on these legacy contracts, but what is the 1/3 that relates to the benchmark iron ore price? I mean, how should we be thinking about that going forward?
Joseph Carrabba: Well, let me address the first part of that, when you go out into 2012. I mean, again, as we get more seaborne exposure, Mark, the lag-year adjustment, if you will, and as some of these contracts roll off, will be less and less of a factor than they were previously when we were more North American-centric, if you will, and tied to the contracts. So it will have a less of an effect as we move into the outer years that go with it.
Laurie Brlas: Yes, and in terms of the 1/3 that is kind of a benchmark price, that's the piece that we've been working through with our customers to identify that's the piece that we've assumed that a 35% increase this year. And we think that it's something that will continue to be a reference out there and that allows us to leverage to that pricing a little bit.
Mark Parr - KeyBanc Capital Markets Inc.: So you're going to -- you're talking about, Laurie, just shifting the annual benchmark into, what, a combination of the quarterly benchmark?
Laurie Brlas: No. We still expect for our North American customers that we will have an annual number that we won't have -- like we do in Australia, we won't have the quarterly numbers moving around a spot basis, the quarterly basis, 30 day. We still think that our North American customers for the most part will have a number that's an annual number. But the customers that are on a contract basis where they have the formula-based pricing, for that 1/3 piece, we have to use a different reference because there isn't a benchmark. So we might use -- if LKB announces a price, for example, or Vale publishes a price, there will be a price that we can utilize to plug into the formula.
Joseph Carrabba: Mark, the biggest part on world price that we've come together with the customers on is just defining where that price comes from versus where it used to come from, from history and the old contracts that go with it. So it's more definitional than anything else.
Mark Parr - KeyBanc Capital Markets Inc.: Joe, I was wondering if you could kind of handicap for us your view about the sustainability of that $187 price going forward. I’d just be curious a little bit as to your thought process and how you decided to kind of settle in on that number as opposed to some other number?
Joseph Carrabba: Well, again, as we've said, I think, in the press release and also in the script today, now that we have an index, Mark, that we're looking at and the influence of an index that comes across, we looked out at -- the number we picked was looking at January 31 of this year at $187. As you know, that pricing has risen since then. It's over $190 today as we talk about it. We certainly expect to see fluctuations within indexes as you might imagine as supply/demand pressures come on. But again, as I stated earlier, I think you've got to throw the Indian export ban, if you will, in place with this. That's a significant supplier into China, coupled with China's still growing consumption of iron ore that continues to show up each quarter that goes with it. So it's a combination of fundamentals of supply and demand still driving the marketplace. And while we don't expect to see the all-time highs of maintain, as we said, in the distant -- for years to go. It's a cyclical market. We do see -- we're pretty bullish on the short term right now with the pricing we see and the effects I've just discussed.
Laurie Brlas: Yes, Mark, while we're very confident on the year, we don't want to project a number. So what we've done is to make it easier for you folks is we say, if the $187 holds, that we factor in our mix of lump and fines and so forth. So if you want to assume the $187 goes up or down, you can take the number that we've given you and move it up or down.
Operator: Our next question comes from Tim Hayes with Davenport & Company.
Timothy Hayes - Davenport & Company, LLC: In the North American Iron Ore segment, when you pay royalties, are those royalty payments based off of booked revenue or cash revenue?
Laurie Brlas: Not a lot, there wouldn't be a lot of difference.
Timothy Hayes - Davenport & Company, LLC: Say in the case that there is a difference...
Laurie Brlas: I think it's cash.
Operator: Our last question comes from Brett Levy with Jefferies & Company.
Brett Levy - Jefferies & Company: One of your North American customers actually has got some sort of out, I understand, where actually their iron ore cost could go down from 2010 to 2011 in sort of a one year get out of jail-free aspect of the contract. Is that more widespread? Am I wrong to look at sort of your basic contracts that way? Can you talk a little bit about sort of some of the outliers if you look at your entire base of North American contracts in terms of what makes prices go up and down from 2010...
Joseph Carrabba: Brett, We have such a wide variety of arrangements with customers, and we don't comment on any particular customer's pricing mechanism. But we do make a number of disclosures in our K, and I would refer you to take a look at those, and you can read all the disclosures that we make about the specific contracts in that document.
Brett Levy - Jefferies & Company: But it's possible that one or two customers could have lower iron ore costs from 2010 to 2011?
Joseph Carrabba: I'm sure it's possible, yes. Like I said, I'm not going to comment on any particular customer's contract.
Operator: I'll turn the conference back over to management for closing remarks.
Steven Baisden: Thanks, Diego. Thanks everyone for joining us on the call today. Both Jessica Moran and I will be available to have follow-up conversations as you get through the numbers and have questions. Please don't hesitate to call us. Thanks again.
Joseph Carrabba: Thank you, all, appreciate it.
Laurie Brlas: Thanks.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you, all, for your participation.